Operator: Good day ladies and gentlemen and welcome to the América Móvil Third Quarter 2014 Earnings Conference Call. My name is Jackie and I will be your coordinator for today. At this time all participants are in a listen-only mode and we will be facilitating a question and answer session towards the end of the presentation. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Daniela Lecuona, Investor Relations Officer. Please proceed ma’am.
Daniela Lecuona Torras: Good morning, everyone. Thank you for joining us in this conference call. We have today on the line, Mr. Daniel Hajj, Chief Executive Officer. We have Carlos García Moreno, Chief Financial Officer; Mr. Oscar Von Hauske, Chief Operating Officer; and also Mr. Carlos Robles, Chief Financial Officer of Telmex. I'm now going to leave you with Daniel.
Daniel Hajj Aboumrad: Good morning. Thank you for being in the third quarter of 2014 operating results and Carlos is going to make a summary of the results.
Carlos José García Moreno Elizondo: Thank you Daniel. Good morning, everyone. While in the third quarter, the US and Mexican economies continue to gain momentum, by a number of countries in the world including in Europe and in Latin America experienced positively new economic weakness, giving rise to important currency realignments and continued reductions in long-term interest rates. In the quarter we added 1.5 million accesses including 1.4 fixed IEUs, during September, with 354.4 million accesses, 1.8% more than a year before. This figure includes 286.8 million wireless subs; 34 million landlines, 22.2 million broadband accesses and 21.4 million pay TV units. Telecom Austria contributed a total of 24 million accesses. Our postpaid subscriber base continued to grow rapidly well dictated with our Pay TV and broadband accesses. They were up 5.6%, 12.2% and 8.5% respectively relative to the year earlier quarter. Our third quarter revenues totaled 221 billion pesos, 13.7% more than in the year at the quarter, reflecting among other things deconsolidation in our financial results of Telecom Austria from July 1st. The year-to-year comparison results in a 4% revenues increase in peso terms is the 2013 results are adjusted pro forma. At constant exchange rates, our consolidated service revenues increased 4.7% in the quarter pro forma. They were led by mobile data services that have maintained a stable rate of growth of around 15% over last several quarters and by Pay TV revenues which however sales high – albeit declining rates of growth, they were at 15.2% in the quarter. The trends showed the continued acceleration of fixed data revenues to 11.5% in the quarter from 9.3% in the fourth quarter of 2013. And I will cover fixed voice revenues with mobile voice revenues maintaining their decline mostly on account of regulatory measures introduced in Mexico. At 69.2 billion pesos, third quarter EBITDA was roughly flat relative to the prior year 0.3% in Mexico peso terms after the consolidation of Telecom Austria as the EBITDA margin came down by 1.2 percentage points to 31%. At constant exchange rates, EBITDA rose 6.3%, substantially more than 4.6% that would have reported in the prior quarter that Telecom Austria been already incorporated in our financial results. Our operating profits declined 5.5% year-on-year, to 37.6 billion pesos, essentially on account of higher depreciation and amortization charges. We registered a comprehensive – (inaudible) that was 12% smaller than that of the year earlier quarter. Our net profit for the quarter totaled 10.1 billion pesos. We are showing our net profit relative to that of the year before is held by 39.3% year-on-year essentially had to do with a similar increase in the income and deferred taxes line item. The profit before taxes, net income before taxes were fairly similar this year than last year. So, our cash flow allowed us to cover capital expenditures in the amount of 82 billion pesos, from 34 billion pesos in shareholder distributions, and contribute 15.9 billion pesos to our pension funds. In addition to the above, we were able to reduce our net debt by 30.7 billion pesos to 490.3 billion pesos at the end of September. Our net debt represented at the end of September, 1.63 times EBITDA. Again this is after the consolidation of Telecom Austria. So, with that, I will pass the floor back to Daniel. Thank you.
Daniel Hajj Aboumrad: So, we are going to start with questions.
Operator: (Operator Instructions) And your first question comes from the line of Vera Rossi with Goldman Sachs. Please proceed.
Vera Rossi: Thank you. Good morning. I have a question about Mexico. Could you talk about the wireless business and what is causing the weakness is it’s related to the macro or how much is related to the macro and how much is related to the change in regulations? And on the fixed line business, what is causing the change in revenue trend from a decline to a growth? Thank you.
Daniel Hajj Aboumrad: Well, good morning, Vera. On Mexico, I think is both – let’s on regulation, we – in the third quarter of 2013 we have around $100 million on revenues on interconnection. This we just have around $20 million to $23 million of the reduction is – it’s high. So that means that part of the decline on the revenue is on interconnection. Other things that we use to have not in this quarter, but last quarter was also roaming rates that we also declined and that we are starting to get higher and recuperating the revenues on the roaming. And also a little bit we have on the economic side that we are seeing also a decline on growth on the phosphate side. We are having the less growth on phosphate. But I think in the next year, we can get better in terms of revenues. We feel that all the interconnection rate and the roaming rates we can do it with more data. So we are still growing in smartphones and at the lower rate that we used to do it, but we feel that next year we can start to accelerate that. In the fixed side, Carlos can talk a little bit.
Carlos José García Moreno Elizondo: Yes, in the fixed side, what I can tell you is that, it’s basically two revenues that are growing. The first one is data revenues coming from big companies, enterprises, SMEs and also internet, they are growing at a good pace. And secondly, it’s the other revenues build up mainly of the sales in Telmex stores and also of new products that we are introducing through IT like, IT solutions. So these are basically the drivers that are beginning to enhance the growth of revenues.
Vera Rossi: Okay, thank you.
Daniel Hajj Aboumrad: Thank you. Thank you, Vera.
Operator: And your next question comes from the line of Andrei. Sabah with Credit Suisse. Please proceed. Mr. Sabah, your line is open. Would you please check your mute feature?
Daniela Lecuona Torras: We can take the next one then, Jackie.
Operator: And your next question comes from the line of Ric Prentiss with Raymond James. Please proceed.
Ric Prentiss: Thank you. Good morning. One quick question and then a more difficult question. In the quarter, the other cost and expense increased significantly to almost 6 billion peso what has been typically more, maybe 2.5 billion peso. Can you tell us a little bit about what was in there? Is that a recurring item? And then the second question is on the asset sale and power spin out, can you update us on the timing and the process of both those events? Thank you.
Carlos José García Moreno Elizondo: The first question, we don’t understand it’s on America Movil it’s on Mexico.
Ric Prentiss: Oh, I am sorry. Yes, yes, sure. On consolidated results where you refer the certain details on cost of service, cost of equipment SG&A and there is a line called other cost and expenses that in the third quarter 2014 was almost 6 billion peso. It looks like – maybe an out of period item. .
Carlos José García Moreno Elizondo: Yes, it’s an impairment that take on Telecom Austria. So that’s the impairment that we took when we bought the shares on Telecom Austria, we decided to take the cost. So that’s our AUM.
Ric Prentiss: And so that’s a one-time item, okay. And then, as far as…
Carlos José García Moreno Elizondo: The next question is on the tower sales, the tower sales are on the process of spinning off. So we have like a process and some authorizations to do that and we are moving on the right direction. So we feel that in the first quarter, maybe at the beginning of the second quarter of next year, we feel we can do the spin, we can have done all the spin-off and on the asset sales, well, we still have our strategy. We are moving ahead and that’s what we are cite all last time. We are not on a hurry. We are prepared to do thing on the right direction. We are not on a hurry to do the sale. What we are moving, we’re trying to move as fast as possible. It’s not an easy sales. So, we have to move a lot of things and that’s where we are at this stage.
Ric Prentiss: That was a like a 2015 event as well then?
Carlos José García Moreno Elizondo: Yes, we think so, yes, yes.
Ric Prentiss: Very good. Thank you.
Operator: And your next question comes from the line of Michel Morin with Morgan Stanley. Please proceed.
Michel Morin: Thank you. I was wondering that you talk about the regulatory impacts so far in the third quarter. Can you help us quantify the risks in 2015 from long-distance? Given, I think it’s an industry-wide event that you are no longer be able to charge for that. And then secondly, it looks like if we go to Peru, I know we rarely talk about that market, but it seems to become more competitive lately. So I was wondering if you can comment a little bit as to what you see there and how we need to be thinking about that going forward? Thank you.
Daniel Hajj Aboumrad: I don’t have – in the first question; I don’t have exactly the numbers on the long-distance. Every month is in the wireless, every month it’s less because everybody – we have a lot of plan since the last two or three years that doesn’t have any long-distance. So, I think the impact is not going to be so high. In the wireless, – in the wire line I don’t have the numbers specifically here. But, we can give it to you if you talk to Daniela, we can give it to you exactly the amount that we feel is going to be in 2015 is going to start 1st of January of this year and there is not going to be anymore long-distance in the country. In Peru, in Peru, I think we are starting to see, we are not starting, I think, all the year we have been a lot more competition and we are working on that. We are putting – as you know, we lose a little bit time on the LTE because we don’t get the spectrum. So we have to use our own spectrum that we use to have and put LTE. So it will take us a little bit of time. We will lose a little bit of time on the LTE subscribers and coverage. But today we have the biggest nine cities on LTE and we feel comfortable still the market is competitive, there is a new competition there called ViaTel that he start maybe two months ago and that’s where we are at this stage. But, we were doing the right things in Peru. We are having good coverage on LTE. We have good coverage on 3G and we feel that next year would be a better year for Peru.
Michel Morin: Daniel, thank you for that. Just to clarify on the long-distance point, in your 2013 filings, you had 13.7 billion pesos which is about 5% of the revenues in Mexico, but what was – I guess the question really is, is all of that at risk? Or is there – are you capable or do you feel confident that you can retain some of that revenue by changing pricing plans?
Daniel Hajj Aboumrad: I think, let’s say in the prepaid, all the prepaid that we have, I think people are going to not use the long-distance. But they are going to start to make more calls. So, we are going to do it through our local calls or data or other things, I think all the prepaid side, we are going to recuperate. The postpaid side, I think, as I told you every month we are doing less. I think from last year September to this year September, we are reducing in the wireless side, maybe 50% or 60% our long-distance. So the reduction is being going every year because we are launching new plans with long-distance. So as people are changing, their plans are moving or renewing the plan, then they are renewing – long-distance, so that’s in the wireless is not going to hit also hard. But, in the wire line I still don’t know, I don’t have the numbers here. But, Carlos, you – but I think, you want to – I think, we can give you the numbers at this time what’s going to be the hit on next year. And I am sure if they are not going to use long-distance, people are going to start to use other services. Now I am sure that we cannot at the short-term but maybe in the long-term they are going to start to use that.
Carlos José García Moreno Elizondo: No, no, and in fact, Michel, if you look at – I mean, these measures have already been introduced in other regions including in Europe and as you can see, you can talk to – it will be an analyst. That for the most part, the reduction in long-distance rates or the elimination of long-distance rates that we are asking there, well basically, made up by elasticity. So, what I am really saying is, basically, people end up consuming more traffic, they will now call it local, because they will not call it long-distance, but in the end there is more consumption and people keep on spending more or less the same. So, again, there is high data already available for similar measure that were introduced in Europe and I am sure your fellow analyst in Morgan Stanley can probably give you some information on that.
Michel Morin: Thank you.
Operator: (Operator Instructions) And your next question comes from the line of Richard Dienen with UBS. Please proceed.
Richard Dienen: Good morning. Thank you. Daniel, just regarding the potential sale of Mexican assets, IFETEL has commented a buyer must demonstrate more than just financial independence. I am just wondering how you interpret that comment. I just – not so familiar with the breakup provision in the new telecom rules, but just to get an understanding of the rules on that particular point, can IFETEL basically vet the character of a potential purchaser, because obviously I think that would have a significant impact on valuation. Any comments on that would be great. Thank you.
Carlos José García Moreno Elizondo: I think, there is some rules that we need to accomplish on the sale, rules from the IFETEL and also some policies that our board give us okay, what we think on the decision on selling the asset was to be out of the preponderant not be in a preponderant player and have the convergence. So, we allow to give TV, Pay TV. So, that’s – and to do a fair price, that’s what our Board decide and that’s what we are looking for and in the other side, we need to accomplish some of the rules that IFETEL has, that it’s in the loss. So, we need to show that this new competition and that this new competitor is going to create effective competition. So effective competition and I think that’s what we are working on and that’s what we need to show the IFETEL that that’s going be unsure with the new competitor or new company with good assets is going to be a new competition. So, what we need to do is to show the IFETEL and make IFETEL feel comfortable that we are going to accomplish the rules and the policies on debtors on the loss. So, that’s mainly what we are working on, that’s why we are not on a hurry. And as you see we can live with being preponderant and both the decision is to sell the assets and we are going to do it, and that’s our strategy and we are working on that.
Richard Dienen: Okay, thank you very much. If I may just squeeze a quick question on Austria; the market there in Telecom Austria they will be doing a lot better than in the past. You’ve got some tailwinds like consolidation and price rises. In light of that, I am just wondering if you could comment on your appetite for Europe and how exact you are thinking about uses of cash and let’s say, maybe windfall cash from a potential sale of Mexican asset. That would be fantastic. Any color on that?
Carlos José García Moreno Elizondo: One thing that we are seeing in Telecom Austria is there has been quite a significant improvement already very noticeable in the main country in Austria. I think, some of the international operations are doing better. But if you look at and I’d like to point it out again – the if you look at the heavy revenue growth line, and you adjust for currency variations. So that you look at the constant exchange rates, you will see that the service revenue growth rate in Telecom Austria is accelerating very, very sharply right now, which basically means that for us nominal figures denominated in euro, you probably do not see a lot of improvement, the fact of the matter that the organic growth is already proceeding there at very good pace. In spite of the fact that the economies have not all of them are doing all that great job yet. So we do believe that the company is in a good position to continue and develop a strong turnaround that we should be able to see – it’s already beginning and I think it can gain momentum and we just had our board meeting this week with the company and we are very enthusiastic about the prospect it has even in the short-term. And as to the development of any new expansion plans, obviously, as you know we have committed with the Austrian government that we will utilize Telecom Austria as the base, the platform to expand throughout Europe. Telecom Austria and into Central and Eastern Europe, Telecom Austria is very likely to proceed with its capital raise later in the year the markets are in stable condition. So, I think, the company should also be a bit stronger. But, it’s important also to bear in mind that in Central and Eastern Europe, as were the case in Latin America there is not that many assets that you can buy. There is a lot that needs to be built and you need to invest more, so that the – you need to invest more to build an integrated platform fixed and mobile and that’s something that we’ve done in Latin America. We’ve invested and we are reaping now the rewards in many countries namely in Brazil, Mexico. But I think that that’s something that we are also going to see in Central and Eastern Europe to Telecom Austria.
Richard Dienen: Okay, thank you, Carlos. Thank you, Daniel.
Operator: And your next question comes from the line of Mauricio Fernandes with Merrill Lynch. Please proceed.
Mauricio Fernandes: Good morning everyone, thank you for the questions. So, in Mexico, Carlos or Daniel the cost savings were significant. I think you have alluded to that in the first question, but could you be a bit more specific into what exactly the efforts were and how you think they are – how sustainable they are? And the second question is, on Columbia, you also have regulatory headwinds and I was wondering if you could apply the same medicine as a way to recover profitability there? Thank you.
Daniel Hajj Aboumrad: Hello, Mauricio, on Mexico, talking a little bit about on Mexico, we have been doing big efforts on the cost control, the expenses big efforts on that. I think, you could see this quarter mainly a big effort on subsidies we are reducing the level of subsidies in Mexico and that is what is helping us, a big part is in terms of subsidies and our idea is not only Mexico, in other countries also to work a lot on subsidies. It’s going to depend on how the market and the competition are, but I think overall in the long-term, nobody wants to subsidize or either no companies wants to have that strategy on subsidies. So that’s something that we are working on and we think we can moderate more our subsidies. We are never going to cut them, but we are going to moderate the subsidies. Other thing also is that in Mexico, because of there is low down of the economy you see less postpaid subscribers this quarter. So we have less subsidies also there. So, those three things are more or less what are helping us on reducing the costs in Mexico. If we can do it for all the next year, well, I think we are working on that. We don’t know exactly how is going to be the market in the next year, but our strategy is not only in Mexico, all over Latin America to work a lot on cot expenses and subsidies. And also, we are working on growing the revenue. This quarter and this year, because all this regulation, we got some reductions in the revenues in Mexico, interconnections, roaming. But I think, that we are still growing at a good pace all the data. We are putting more postpaid. People are using – we have a very good network and growing a lot the LTE network good coverage and people are starting to use every day more and more data. So, in the other side, and it’s not only cutting costs, it’s also moving ahead on revenues and revenues on data. So that’s what we are having on Mexico. In Colombia, in Colombia, we have one special thing this quarter in terms of EBITDA because, when we win the spectrum to do LTE, we have to sell tablet, not to sell, we have to give 300,000 tablets to a lot of – there is a specific policy to give and to whom you need to give those tablets and we finish this quarter that. That’s why you see that there is slow down on the reduction on the retail because we have a big cost on giving all the tablets there. But I think we can return to the levels of – that we used to have. Competition is high also what is hitting us a little bit on revenues is that we are reducing the prices. In prepaid, we are reducing prices, we want to be more and more competitive there and also, we have a slowdown in the postpaid side, because remember that you cannot make contracts. There is a new law that you cannot make contracts in the postpaid. So, as we are not going to make contracts, nobody is subsidizing the handset and then we have slowdown on that. But I think, Colombia next year, you are going to see – we are working on that. We are being a little more competitive. We are trying to do a lot more investing, a lot more in data. In data we are not doing very good we are growing at a low base and I think next year, we can have a higher rates of growth on that. So, I am comfortable that you are going to see a better Colombia country on 2015.
Mauricio Fernandes: Okay, thank you Daniel.
Operator: And your next question comes from the line of Sunil Rajagopal with HSBC. Please proceed.
Sunil Rajagopal: Hi, Carlos. I had a question on Brazilian market. A few months back, everyone thought that the stars were aligning in terms of consolidation, but a lot has changed over the last three months particularly, with the smallest competitor in mobile that is I. How do you see things are developing for Brazil? Do you think the consolidation prospect is still alive and are you still interested in participating for the same? Thank you.
Carlos José García Moreno Elizondo: Hey, hello. Thank you for the question. Well, as you know, we’ve been having been confronted with this question for a bit more than a year now. And what we have said always is that, we see these as a prospect that poses several challenges on several fronts including financial. And – but that we would be open to consider it, if as you say the stars were to align themselves then we would be keen on participating in something. But the fact that the matter is that we have always said there is very significant challenges to be overcome, but we would be interested in exploring the possibility if the stars were to be aligning themselves as you put it
Sunil Rajagopal: Sure. Thank you, Carlos.
Carlos José García Moreno Elizondo: Thank you.
Operator: And your next question comes from the line of Kevin Smithen with Macquarie. Please proceed.
Kevin Smithen: Thanks, can we just get an update on some of the cross-selling opportunities between net and Claro and Brazil? It really looks like, since you’ve completed that integration that you are benefiting strong net adds on both sides of the business, and really just talk about some of the macro headwinds there and obviously some of the opportunities now that you’ve completed the integration and, what is your outlook on the Brazil business over the next 12 months?
Carlos José García Moreno Elizondo: Well, I think, we just returned from Brazil. We are happy. Still if you see on the economy, there is still a slowdown, elections and there is a lot of happening there. But I think in 2015 we are going to see a much better economy I hope and that’s in terms of the country. But in the company as itself, I think we have the best platform in Brazil. We are doing very well on the TV, cable, corporate and we are gaining momentum in the mobile. So, we already or we are finishing the consolidation of the three companies. So, at the next year we are going to see only one company in Brazil. We have the authorization and we are working on that. And the integration is working on the right path. We are saving, you are seeing maybe two points of EBITDA more with the good growth this year than last year and I hope we can have also a better EBITDA in the next year. Our budget is to have a better margin next year. We are still working on that, but, I feel comfortable on the way we are – the company is – Claro companies in Brazil are doing, Claro Net Embratel they are really working in a good way.
Daniel Hajj Aboumrad: Yes, next question.
Operator: And your next question comes from the line of Rodrigo Villanueva with Merrill Lynch. Please proceed.
Rodrigo Villanueva: Thank you, good morning Daniel and Carlos. I have a question regarding the broadcasting auctions to be held early next year. News reports have not mentioned AMX – so I was wondering if you are not really participating here and in case you are not participating (inaudible). That’s my first question. Thank you.
Carlos José García Moreno Elizondo: As the process of the TV broadcast starts, I think one month ago as you can see, we are not in. So we decide not to participate in that auction. So, we are not going to be – America Movil is not going to participate in the TV broadcast auctions. And on the advertising side we have company which has bought two years ago a company and we are selling advertising all around Mexico some of the advertising. And we are starting to do that in America Movil through the rest of the country. So, we are working, we are interested in doing and selling some advertising and but in the TV broadcast in Mexico we are not going to participate.
Rodrigo Villanueva: Got it, thank you very much Daniel. And I was wondering if you could elaborate a little bit regarding your stake in KPN. What should we expect you do with it going forward?
Daniel Hajj Aboumrad: Well, as – the decision today, the decision is to reduce our stake to 20 plus, 20 something as we still have to – Board members with that stake and we are working with a company helping them. We have good relation. Still does not know if we are going to – what we are going to do with that. Still we are, right now, comfortable with the 20% of stake in KPN and we are not in a hurry to make any decision. So, we are waiting and see, let’s see what is going to happen next year and let us have that discussion on what to do with KPN stake.
Rodrigo Villanueva: Perfect, thank you very much.
Daniel Hajj Aboumrad: Thank you.
Operator: And your next question comes from the line of Will Millner with Arete Net Research. Please proceed.
Will Millner: Thanks very much. I just had a question on Brazil again, and I know you guys doesn’t normally split your CapEx or investments with your operations. But, it will be quite helpful in terms – sort of mobile portfolio and growth coming from the net business, you just kind of outline how much you’ve invested this year? What the investment plan is for Claro next year? Whether we should be thinking that CapEx in that market is going to continue at a pretty high level? Whoever is likely to fall next year? Thanks.
Daniel Hajj Aboumrad: Well, we have different segments on the decision on the CapEx. I think one is some requirements that we have to do there because we win some auctions, price reduction, so we have to cover some cities. So, that’s part of the CapEx. The other part of the CapEx is where we saw we have opportunities, okay. We still see good opportunities on the TV, on the fixed, on the broadband. So we are deciding today what is going to be the CapEx for next year taking and evaluating what are the opportunities there. So, we still don’t know exactly what is going to be. We think it could be more or less the same amount of this year. The CapEx is still we need to negotiate the pricing and a lot of things. So, it’s too early to decide what’s going to be, what the number on CapEx for Brazil is for next year. But, I think still Brazil is an opportunity country. It still has a lot of growth to give and we want to participate in that growth. So, we are not looking Brazil at the short-term. We are investing in Brazil and we feel that in the long-term, Brazil is going to be a very good and profitable country.
Carlos José García Moreno Elizondo: I think, if you consider it, since we acquired the Telmex Internacional and then in net back in 2010. As you recall, America Movil embarked on a very major investment program. It was to really – at least five years $10 billion per year. We are coming to the end of the fourth year, before we have invested nearly $40 billion in Latin America since 2011, okay, and what I can tell you is that the ongoing to the actual specifics of the investment forms that we have allocated to Brazil. But I can tell you that what we have achieved so far, what we have achieved so far is in the case of net services, the company that has doubled the numbers of – since the end of 2010 from 10 million to roughly 20 million right now. We have more than doubled, more than doubled the total fiber optic network that we have in the country. But very specifically, a very significant part of what we have built has been in the metropolitan area. We have a metropolitan range. We have a fiber to the tower. So we have really built a top of the line network also at Brazil, I’d like Oscar can give you a bit more of the details in terms of how we are building the network there.
Oscar Von Hauske Solís: As you said, we’ve been building all these metropolitan range to get access to not only to net, in Brazil we have a single network that serves all the markets, enterprise, and mobile. So we already, all the investments are all IP and unique network to handle all the traffic from the different platforms. So as you mentioned where we have 20 million come passes through net with cable that allow us to have a triple play offering very compelling and very competitive in the marketplace. In the case of Embratel, we have a good proposition on the BPMs and data connectivity to enterprise. We developed four datacenters as well through Brazil in order to get into cloud services. As you know, we have a satellite company, Star One. We recently launched one satellite one year in a row and we will launch two another satellite one in 2015 and another one in 2016. And these satellites, the 2015 satellite that we are going to launch, will serve us to integrate all the satellite TV platforms just in one satellite and bring us a lot of capacity to have high definition channels and as well 4k channels through this satellite. The second one satellite we will use to replace third-party satellites that we are using now to deliver back off of mobile in the rural areas. So that will save us some cost and we will operate at cost levels with this new satellites. I think, if you add all and as well we are operating right now the new AMX 1 submarine cable, this submarine cable in Rio de Janeiro goes to Fortaleza and then goes all the way to Miami and Jacksonville. It’s a 17,600 kilometer submarine cable that gives us the capacity we believe for the next twenty year to have enough capacity to handle the growth on data in all the platforms fixed and mobile platforms. I think, we have and we connect to this cable, all the countries, Colombia, Peru and we close the ring through terrestrial fiber. So, we will have all the redundancy all across the continent and it’s a great asset that we feel that will bring better quality to our broadband and internet connection and cost savings because now we are leasing a lot of capacity to get to the US. So, I think there is a right combination on Brazil.
Daniel Hajj Aboumrad: And only to add one more thing about what Oscar is saying, as we have one network and doing the fiber, doing the rings, what we are doing on that is we are giving a lot more broadband on the wireless side for all the small towns. So, we are growing a lot on connecting small towns and giving them broadband. So, we feel that next year also you are going to see a lot more on wireless and data in Brazil. The growth on that is going to be good because all the backbone and networks that we are doing connecting more sell sites, giving more 3G, giving more LTE, putting more smartphones and that’s going to give us a better revenue on better data in Brazil. So, as I told you since the beginning, I feel very comfortable. I feel we have the best platform in Brazil at this moment and we need to take advantage of that.
Carlos José García Moreno Elizondo: As I was saying Oscar for you, nearly $40 billion invested already in the ground and to build the fastest and the more robust networks in Latin America, that we are seeing the evidence of that obviously in Brazil. We are seeing the evidence of that in Mexico. And overly a lot of the postpaid clients are flocking over to our network. But postpaid clients lag in mobile is precisely fast on data networks.
Will Millner: Yes, that was very helpful detail. I just – and then, just a quick follow-up and just a clarification, obviously $10 billion of CapEx across the group every year, for the last four years, I mean, can you say, I mean, just to help comparability for example, this year in Brazil, how much you are investing in CapEx? How much of that $7 billion is going to Brazil this year?
Carlos José García Moreno Elizondo: Like 30% to 35% of that CapEx is going to Brazil, more or less.
Will Millner: Okay, thank you very much.
Carlos José García Moreno Elizondo: Thank you.
Operator: And your next question comes from the line of Gregorio Tomassi with Itaú BBA. Please proceed.
Gregorio Tomassi: Yes, thanks for taking the question , Daniel and Carlos. Basically, this is about Mexican regulation that is in process. I have some difficulties in understanding how – what assets or what’s the shape of the assets that AMX could sell? Given the fact that as the time progresses, regulations are still to come on current AMX and I am meaning – I am talking about the all obligations on network sharing that we have talked a little basically on bundling of local loop obligations to share networks in a mobile network. So, my question is, when talking to prospective interested parties in any part of AMX, how do you deal with the fact that it’s not precise what you would be able to sell in the future as these regulations progress or if some of these regulations reversible, that’s kind of the delay may have when trying to address these prospects.
Carlos José García Moreno Elizondo: Yes, look, as I told a few minutes ago, we are in the process on the selling of the assets (inaudible) interested companies, big international companies. We are not disclosing what and how we are going to sell. That’s what we are discussing at this moment with each one of the companies. And, what I said is, what we are discussing and we are working on is, what we are doing is, discussing the way we are going to create effective competitiveness in Mexico to present that to IFETEL. So, that’s what we are working on and that’s the strategy that we have. So, we are in that process. We don’t want to talk more about the process, because we are talking with each of the companies and we don’t want to open that. Each of the companies is different and that’s where we are today.
Gregorio Tomassi: If I may just – but do you have an assumption that some of the obligations that are about to enter on sharing of infrastructure and functional separation could be reversible, if you present a suitable law for a suitable plan to IFETEL or no reversibility should be assumed?
Daniel Hajj Aboumrad: No, well, it’s important when we present the plan and then the IFETEL approve the plan, then we are going to be preponderant player and then we are going to decide if we have already some things that – let’s say long-distance, long-distance is not for a preponderant player, and long-distance is for everybody. So, long-distance is not going to come back we know that, and that’s the way it is. Other things, interconnection, that would go disappear and that’s something that we are going to start to move on different way on that. So, that’s what we are looking and that’s what we are working for. So that’s different. So, we are preparing on working to accomplish all the secondary loss today and we sell, then we are going to see what are the things that we think we don’t want to do and that will disappear no.
Gregorio Tomassi: Thanks, Daniel.
Operator: And your next question comes from the line of Jonathan Dan with Royal Bank of Canada. Please proceed,.
Jonathan Dan: Hi there. I’ve got just one question. Thank you for taking the call. Do you – after the tower spin-off and the Mexican asset sale, do you have a target leverage? And then as a second part of that, with some of these spectrum auctions coming up, is there opportunities to enter some of the Central American countries where you’re not yet present?
Daniel Hajj Aboumrad: On leverage, we haven’t had any change in policy. As you know, we are now aiming to be at roughly 1.5 times debt-to-EBITDA. We have the consolidation of Telecom Austria, we would have been below that already. I think at 1.45 or bit about. So I think that we are very much on target. Obviously, with the Telecom Austria raising capital in the next few days, we are going to be getting closer, even closer to our target of 1.5 and we don’t foresee any changes in our leverage target rate. I think that we’ve been discussing this with the rating agencies and I think that everybody is very much clear in terms of what we intend to do and what we intend to do with the leverage.
Carlos José García Moreno Elizondo: And on the Central America to do and to get in other countries, it all depends on the opportunities. Still we are not seeing anything, but depending on the opportunity, I don’t think we want to buy anything else in the countries where we are doesn’t make any sense for us to do something like that. I think, we are growing, we are investing and in countries where we are not, where we are open, we would see and if it makes sense we can do it where open.
Jonathan Dan: Thank you very much.
Operator: Ladies and gentlemen at this time we have time for one more question and your last question comes from the line of Carlos de Legarreta with GBM. Please proceed.
Carlos de Legarreta: Thank you very much for taking the question. Just, yesterday, I think a German publication talked about how you might be interested in acquiring T-Mobile in the US. I just want to know if you have any comments on this? Thank you.
Daniel Hajj Aboumrad: No comments on that. So, we are not talking with anybody at this stage. So I don’t have any comment on that.
Carlos de Legarreta: All right. That’s it. Thank you very much.
Daniel Hajj Aboumrad: Thank you.
Operator: That concludes our Q&A session. I would now like to turn the call over to Mr. Daniel Hajj for closing remarks.
Daniel Hajj Aboumrad: Well just, thank everybody for being in the call, and thank Carlos, Oscar, Daniela and Carlos here. Thank you very much.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation .You may now disconnect and have a great day.